Operator: Good day, and welcome to the Cresco Labs Second Quarter 2019 Conference Call. All participants will be in listen-only mode [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Jake Graves, Investor Relations for Cresco Labs. Please go ahead.
Jake Graves: Good afternoon. And welcome to Cresco Labs second quarter 2019 earnings conference call. We look forward to speaking with you today, and discussing the great progress we have made at the company. I'm joined on call today by our Chief Executive Officer and Co-Founder, Charlie Bachtell; our President and Co-Founder, Joe Caltabiano; and our Chief Financial Officer, Ken Amann. Prior to this call, we issued our second quarter 2019 earnings press release for the three and six months ended June 30, 2019. This document has been filed with SEDAR and is available on our Investor Relations Web site at investors.crescolabs.com. Before we begin our remarks, I'd like to remind everyone that certain statements made on today's call may contain forward-looking information within the meaning of applicable Canadian securities legislation, as well as within the meaning of the Safe Harbor provisions of United States Private Securities Litigation Reform Act of 1995. Such forward-looking statements may include estimates, projections, goals, forecasts or assumptions, which are based on current expectations that are not representative of historical facts or information. Such forward-looking statements represent the company's beliefs regarding future events, plans or objectives, which are inherently uncertain and are subject to a number of risks and uncertainties that may cause our actual results or performance to differ materially from such forward-looking statements, including economic conditions and changes in applicable regulation. Additional information about the material factors and assumptions forming the basis of our forward-looking statements and risk factors can be found under Risk Factors in Cresco's 2018 Annual Information Form filed with SEDAR on May 9, 2018 and available at www.sedar.com. Cresco does not undertake any duty to publicly announce the results of any revisions to any of its forward-looking statements, or to update or supplement any information provided on today's call. In addition, during today's conference call, Cresco will refer to some pro form and non-IFRS financial measures, such as pro forma revenue, adjusted EBITDA and operational gross profit, which not have any standardized meaning prescribed by IFRS. We believe these non-IFRS financial measures assist management and investors in understanding and analyzing our business trends and performance. Please refer to our earnings press release for the calculation of these measures and a reconciliation to the most directly comparable measures calculated and presented in accordance with IFRS. These pro forma and non-IFRS financial measures should not be considered superior to, as a substitute for, or as an alternative to, and should only be considered in conjunction with the IFRS financial measures presented in our financial statements. Please also note that all financial information on today's call is presented in U.S. dollars unless otherwise noted. And with that, I'll now turn our call over to our CEO, Charlie Bachtell. Charlie, please go ahead.
Charlie Bachtell: Good afternoon, everybody, and thank you all for joining us today. With these quarterly calls, we understand the primary purpose is to provide the public with our quarterly financial and business updates, but we also see these as an invaluable additional opportunity for us to provide the public, investors and analysts more insight on who we are as an organization, how we think about the industry as a whole and how we impact it. But in true Cresco Labs fashion, we'll execute on this additional opportunity compliantly, professionally and efficiently. We understand that it is a privilege to be a publicly traded cannabis company and delivering on what we promise as a fundamental value of ours. We've made a commitment to the market to responsibly accelerate top line growth to achieve a superior capital agenda that includes thoughtful and creative M&A transactions and to focus on creating efficiencies as we scale this business. With that, in Q2, we delivered on what we said we would deliver. Focusing on responsible top line growth, our team generated approximately $29.9 million in revenue, which represents 253% year-over-year growth and 42% growth on a sequential basis. Factoring in pro forma revenue, we generated $52.7 million on the top line, which represents a growth of over 55% sequentially with the same asset portfolio. We expanded our operating gross margin to 48.1% in Q2, up 3.5% from the previous quarter. And we had $14.5 million in adjusted EBITDA or $2.3 million excluding the net benefit of biological assets. The increase in gross margin and EBITDA clearly demonstrates the leverage and efficiencies available to us as we continue to go deeper in each of our 11 markets. The acceleration of top-line growth will continue as we develop further operating scale in our strategic 11 state footprint. As per our capital agenda, Cresco Labs has strategically allocated capital through accretive transactions to gain exposure to 70% of the addressable U.S. population. This strategic geographic footprint provides us the ability to focus our efforts, execute and create scale in the highest value markets that includes vast majority of the U.S. population. As adult use continues to expand across the U.S. and as we continue to grow the presence of our in-house brands, we expect to touch even more consumers. With most of our revenue still coming from two markets; fortunately, two of the best and fastest growing markets in the country in Illinois and Pennsylvania. We still have substantial growth ahead, both within those two states and as we dive deeper into the other nine states over the next several quarters. We have continued to invest in our brands to gain material market positions where we operate, partnering with some of the best agencies in America to build creative work that will drive the industry forward and again establish our brands as the strongest brands in the largest states in the country. On August 8th, we announced regulatory approval for the acquisition of Valley Agriceuticals, one of only 10 vertically integrated licenses in the state of New York. Between Valley Agriceuticals in New York and Origin House in California, Cresco has not only gained exposure to two of the most popular states in the U.S., but established cornerstone positions in two of the world's most influential consumer markets. A meaningful presence in these two markets is core of the achievement of our objectives to establish the strongest national brands in the cannabis industry, driving lasting value for shareholders. California is shaping up to be the market we all knew it could be as enforcement measures had started to take toll on the illegal market. 2020 is going to be a big year for the state, which is already the largest regulated market in the world. California is also a perfect launchpad for a national house of brands as it is the closest environment we have today to traditional CPG market. We plan to leverage learnings from this market to further develop our premium in-house brands and to launch new ones. California will be a big part of the Cresco story in coming years. We are now present in every state that we need to be in. So as we look towards near-term M&A, it is no longer about expanding the number of states that we're in. It's about going deeper, gaining meaningful material and market-leading positions in these states and adding brands, IP and other assets that will increase margins and provide defensible modes on returns for shareholders. The rubber is meeting the road here for Cresco, and we are right on track to generate substantial revenue and earnings as we attack these opportunities. From a long-term perspective, we've focused our efforts on becoming dominant in the middle two verticals of the value chain; the creation of the consumer branded products and the distribution of those brands in the third-party dispensaries shelves. It is a strong belief that based on the proven models of the other global CPG companies that this is where the sustainable, competitive advantage and the bulk of the margins in the industry will reside. That said we are in a transitionary period where vertical integration is an important part of achieving that long-term objective. We view our dispensary network like several of the world's largest consumer brands as an ideal way to direct [Technical Difficulty] the consumer in an experiential way, educating them, creating comfort, broadening the base and driving brand equity for our in-house suite of products that they will then also find in other stores as they travel throughout California, to New York, to Illinois, to Florida, et cetera. Earlier this month, we launched our new retail brand, Sunnyside. We plan on rolling this concept out across our geographic footprint with a focus on wellness, education and customer service. This is not just a pretty store front or an attempt to mimic the aesthetic of the Apple store. This is a brand new and truly customer focused approach to the dispensary model designed by our team of proven experts in branding, consumer experience and retail marketing. Our model is based on addressing the largest market segment, wellness and general quality of life enhancement, which accounts for 80% to 90% of most markets around the country. We expect Sunnyside to advance the conversation around wellness in cannabis, and quickly become a world-class retail brand that appeals to the new wave of consumers reshaping cannabis culture. Ultimately, our ability to execute comes down to the strength of our people. A point of distinction for Cresco Labs has always been the strength of our management team. I'll challenge anyone to find a team in the cannabis space with a better track record of scaling global champions, and we continue to make it stronger. In mid-July, Angie Demchenko, joined our senior leadership team as Cresco's first Chief People Officer; Angie's proven track record of building best-in-class HR strategies and operations as a former Head of HR for Starwood Retail, the commercial real estate arm of Starwood Capital and SVP of HR at Jones Lang LaSalle. She's one of the best executive coaches and leaders we've had the pleasure of working with, and I know Angie will ensure that we maintain our strong workplace culture, as well as the focus on our core values and mission as we scale. In early July, we also added Mo Dastagir to the team as Chief Information Officer. This is a critically important role given the company's rapidly expanding footprint and the imperative to drive value from our rapidly expanding data assets. Mo will be responsible for overseeing the technology infrastructure throughout Cresco and designing, scaling and implementing technological systems and platforms, to optimize the customer experience. Mo comes with a proven track record of driving and managing technological change at an executive level, previously holding senior leadership positions, focused on expansion and integration at Amazon, Novartis, and as VP and CTO at Sears Holding Services. We're very pleased to welcome Mo and his leadership to the team. I'd like to say a few words about closing of our transaction with Origin House. While we certainly would have been happy to close the acquisition in June, we also see this HSR second request is a transformative opportunity for cannabis. The fact that a federal agency is reviewing the M&A transaction in this industry must be seen as validation. They're acknowledging the existence of this industry, running our transaction through the same process as traditional industries. This is also a chance to work directly with the Department of Justice as they begin to learn and understand the space. A federal agency that will likely be utilized as a resource that legislators and other federal agencies continue to evaluate the SAFE Act and the STATES Act. It's in our DNA to embrace regulation and compliance, and act as a resource and partner with our regulators. We've shown this time and again with state regulators and legislators, and it clearly now includes agencies within the federal government. In summary, I know I speak on behalf of the entire team when I say that I'm very excited about the future for Cresco. It's taken us six years to get here, and we're just getting started on our journey together with 2020 shaping up to be an inflection point for the company. Quarter-after-quarter, we demonstrate our ability to execute on our strategic plan and key milestones. The evidence is in the numbers and the reputation that we've earned with our employees, our regulators, our customers and the investor community. We consistently have demonstrated unique understanding of where this industry is going, providing the thought leadership to get it there, the ability to execute and make that happen and then an ability to get the disproportionate share of the resulting opportunities. Our performance is driven by a first class team that will continue to be the foundation of our long-term success. Now, I would like to pass the call to Joe Caltabiano, Co-Founder and President to cover some additional recent updates and highlights.
Joe Caltabiano: Thanks Charlie. We've been clear that our approach is to build a strategic footprint in high population culturally significant states, and then to go deep to build the most important cannabis company in the U.S. In the interest of time, I will hit on some quick highlights, a deeper update of our 11 markets will be included in our MBNA and I'm happy to address any questions on individual states at the end of the call. In our home state Illinois, we generated 30% sequential organic growth, driven by rapid expansion in average patient count of over 5,200 per month in Q2. In addition, over the past two weeks, the state expanded the medical market to include conditions such as chronic pain and migraines. We expect this addition will drive significant growth in patient count for Cresco over the remainder of 2019. Illinois is about to get even more exciting. In late May, the state passed legislation to open up cannabis to adult use beginning in January of 2020. This is massive for Cresco. We already have the largest market share in the state, and the Illinois cannabis market is projected to be between $2 billion and $4 billion at maturity. Illinois has put forth a model that will make it one of the most intelligently regulated states and hopefully provide a blueprint for states transitioning over the next few years. It was the first large state to legalize cannabis through the legislative process instead of through voter referendum. And a large part of why the government was able to achieve it was their focus on social equity. In California, which is one of our newest operating markets, we have driven rapid sequential growth for the sales of Cresco products to third-party dispensaries. This is a testament to the strength of our brand in not only the largest cannabis market in the world but also the most competitive. It also a demonstration of Cresco's unmatched ability to get on the ground and operationalize rapidly, as well as the strength of our sales teams [Technical Difficulty]. We been working closely with the Origin House team and introduced Cresco branded products into the continuum distribution platform starting in June. Continuum currently touches the vast majority of dispensaries in the state, and we expected it to drive rapid adoption of our house brands. In Florida, VidaCann is progressing on their expansion plans. They opened dispensaries in Jacksonville and Pensacola in mid June, bringing in total open locations to 12 with plans to open Miami and Orlando in the very near term. VidaCann has plans to have about 20 stores open by the end of 2019. They are also in the final stages of an additional 105,000 square feet of cultivation space in Jacksonville, Florida. Our teams continue to work towards integration and expect to be in a position to move quickly when the transaction closes. We've also seen some fantastic leadership and ability to execute from the incumbent team. And we're excited to see them Cresco Labs a better company across all our platforms. New York and Massachusetts are both exciting markets that will be hugely important for our strategy. It was no small feat to receive regulatory approval to close on one of only 10 available vertical licenses in the state of New York. This success is a direct result of our teams' operating track record, as well as our established reputation for being good stewards in the industry at all levels; regulatory, economic, social and community. Valley Ag has four licensed dispensaries with operating locations in Bardonia and New Hartford, and new dispensaries scheduled to open in Huntington and the Williamsburg neighborhood of Brooklyn by the end of this month. In Massachusetts, we continued to progress on the Hope Heal Health transaction, and expect the Cannabis Control Commission to approve our transaction by the end of the third quarter. In Michigan, we still expect to generate revenue in the state, starting at the end of Q3 with our full cultivation facility in Marshall scheduled to be completed early in 2020. On the branding and product side of the business, we expect WellBeings' products to be available online in every state where regulations permit by mid September. These are top notch CBD products in and of themselves, but this launch also comes with the added benefit of raising brand awareness for all the Cresco in-house products, particularly in states where there are no medical or adult use cannabis programs. Turning to Sunnyside. This is a massive opportunity for Cresco, not only in terms of near-term revenue and response but in terms of long-term product development efforts, brand awareness and scaling. At Cresco, it all starts with the customer. Sunnyside was designed to provide the highest level of customer experience and to normalize the [Technical Difficulty] experience for customers at the point of sale. The ancillary benefit will be the generation and capture of consumer data and insights on developing customer trends. Mo, our new CIO, will be overseeing the efforts of our customer data team to drive actionable intel. We expect to open the first Sunnyside location in Philadelphia in November with future locations planned for Florida, Illinois, Ohio, Arizona, Massachusetts and Michigan. We will be launching home delivery in the Arizona market over the next two weeks. This puts within direct reach of the 4.5 million people in Greater Phoenix area, the fifth most populated city in the U.S. Omni-channel is an integral part of our strategy and retail plan nationally. We will use Arizona as a model to launch in other markets, and we are excited to report back on the rollout. Cresco branded THC products are now on shelves in seven of the 11 markets we operate in. We plan our Cresco products available to customers in all 11 markets by the end of 2019. In our current strong hold markets of Illinois and Pennsylvania, we are in 100% of the dispensaries in the state, which is ultimately the goal for each and every one of our markets. With that, I'd like to turn the call over to Ken Amann, our CFO, to speak about quarterly financials.
Ken Amann: Thank you, Joe and good afternoon everyone. I'll begin by reviewing the financial highlights of the quarter and then address our current liquidity position and capital markets activity. Please note that all numbers are stated in U.S. dollars. The second quarter provided evidence that our approach to the market is generating the results that we planned. We enter the most strategic cannabis markets in the U.S., quickly build vertically integrated operations to get our products on third-party shelves, driving substantial revenue growth. As expected, our revenue is ramping strongly. Gross margin is expanding as we drive operational efficiencies to reduce cultivation costs. And we have invested to build a platform that one scale can create substantial earnings. We generated $29.9 million in revenue in Q2 for a sequential growth rate of approximately 42% with contribution from six of our markets. Adding pro forma revenue that number increases to $52.7 million or a growth rate of 55% over Q1 pro forma. Pro forma revenue includes pending acquisitions in New York, Massachusetts, Florida, as well as [Technical Difficulty] and our investment in Nevada. On a sequential basis, we generated strong revenue growth in all key markets, which is just the beginning as we go deeper and get to scale. The second quarter revenue mix was approximately 62% wholesale and 38% retail, a shift from 55% wholesale and 45% retail last quarter, which was mainly driven from the increase in wholesale revenue in California. Because we are focused primarily on the middle two verticals of the value chain, third-party retail shelves are key. By rapidly expanding our wholesale exposure, we [Technical Difficulty] scale into new markets without the same fixed cost investment that comes with owning a retail network. Ultimately, this strategy also creates far more exposure for our in-house brands, which goes directly to our objective to create a national house of brands. Overall, our operational gross profit margin was 48.1% in the quarter, which excludes any impacts of biological assets. This represents an increase of 3.5 percentage points compared to Q1. This was largely the result of our focused efforts to drive automation operating efficiencies with improved cost per gram, as well as improved packaging and processing costs quarter-over-quarter. This is proof that going deep in states to drive economies of scale has been winning proposition. In Pennsylvania and Illinois, our two largest and most mature markets, we have improved our gross profit margins by 4.9 and 9.1 percentage points respectively over Q1. In California, which is relatively a new market for us, we made investments in gross margin during the quarter to drive momentum and awareness for Cresco branded products. Our investments have already started to pay-off with a significant revenue increase during the quarter compared to Q1. We have laid the foundation. And as awareness grows, particularly as we began really pushing product to Origin House's continuum platform, we expect to leverage volume into expanding gross margins. Origin House's core distribution business continues to perform well. Earlier this month, they reported preliminary unaudited revenue of approximately $16 million for the second quarter, an increase of about 90% from Q1. We expect to be able to leverage this platform quickly upon closing. And as Joe mentioned, we are currently working closely with the Origin House team on integration planning so that we can get off to a running start when the transaction closes. We generated solid profitability in the quarter as measured by adjusted EBITDA of $14.5 million in Q2. Excluding the net benefit of biological assets of $12.2 million, adjusted EBITDA was $2.3 million. Q2 provides a window into how we see our operating and financial models coming together to drive results for shareholders as we scale over the coming years. SG&A, excluding non-recurring items and equity compensation, was $13.5 million in the second quarter compared to $11.4 million Q1. The increase reflects the increased headcount as we continue to build out our infrastructure to make investments aimed at driving brand awareness to gain material market positions. It is important to note that while SG&A is elevated as a percent of revenue versus what we would expect on a normalized basis. This ratio will continue to trend lower as we generate higher sales and leverage our existing infrastructure. Investments we have made in people and G&A to this point can support a much larger business across the states that we are currently operating in. Our cash utilization was elevated during the quarter as we invested about $16.3 million in PP&E to build out production space in key markets, such as Illinois, California, Pennsylvania and the expansion into Michigan. We also loaned $3.4 million to fund build-out costs for pending acquisitions and paid nearly $15 million for the legal close of acquisitions, primarily related to MedMar and PDI. At the end of the quarter, we had $61.1 million in cash. As a senior team, we have been focused on growing Cresco Labs in such a way that maximizes returns for the company's shareholders. A strategic approach to capital structure is absolutely core to the achievement of our objective to become the most important cannabis company in U.S. In conclusion, I'll just reiterate that we, as a senior team, are very pleased with the results this quarter. Our people are executing well and the evidence is showing up where it matters in the numbers. We are right on plan. And with the vast majority of our revenue still coming from Illinois and Pennsylvania, we have substantial room for growth over the remainder of the year and through 2020. Thank you for your time today. And I'll now ask the operator to open up the line for questions.
Operator: Thank you, sir. [Operator Instructions] Our first question comes from the line of Michael Lavery of Piper Jaffray. Your question please.
Michael Lavery: Can you just touch on the mechanics for Origin House? I know you're saying you expected to close in 4Q. I think it's a lot of, maybe eight years or so questions to get back to the DoJ. It sounds like that's on track for the next few weeks and then it's about a 30-day period after that. Can you just lay out some of those steps?
Charlie Bachtell: Sure, Michael. This is Charlie, and thanks for calling in, good question. So the way that that process works, as you explained, there's a list of some incredibly thorough questions that they ask related to the way that the business operates. And the compiling -- the substantially complete answers to that is not an insignificant task. We have devoted tremendous amount of resources to pushing that forward. And at the timeline that you referenced, this is in line with our expectations. We do, as I mentioned during the call, we look at this as a unique opportunity, not only of course to get the Origin House transaction approved, but to have an audience with the DoJ with all of the potential for federal change on the horizon. We think it's an incredible opportunity to play a role as a resource and help federal agency really better understand the space and of course, a professional highly regulated compliance focused manner in which this space is progressing. It's a critical opportunity that we're -- we're actually excited to have the opportunity to be a part of it.
Michael Lavery: And then just on your organic store growth. Can you give a sense of what pace we should expect apart from acquisitions, and how that may look over the next few quarters?
Joe Caltabiano: Sure, this is Joe. Our expectation, currently we have 26 open retail stores. We expect to grow that to 35 to 45 by the end of the year, with 15 to 25 of those being branded as Sunnyside, the new retail brand that we've launched, the wellness brand. So yes, we expect to end the year around 35 to 45 open retail stores.
Michael Lavery: And any sense if that's the similar pace you would likely carry into 2020?
Joe Caltabiano: So currently, we sit with 61 retail licenses under our umbrella. So we certainly expect to continue into Q1 at a very rapid expansion pace. Then as we continue to explore M&A opportunities, it will further out growth. But yes, we expect to have 61 stores open and functioning by end of Q1, early Q2.
Michael Lavery: Just last one for me, on the CBD rollout. Can you give us a sense of what size retail footprint you might get those products in? How many retail outlets should we expect that to be in? And how quickly would that build? It sounds like -- does it all come at once in mid-September, or how should we think about how that progresses?
Charlie Bachtell: Thanks, this is Charlie. So the rollout of the WellBeings, the hemp-derived CBD product line is first going to be DTC, direct-to-consumer, that's going to be the initial launch with retail to follow thereafter. Now, some of the other house of brands that are also going to transition in hemp-derived CBD versions like Remedi. In, I think late September -- mid-to-late September, you will see those start to launch in more of a traditional retail platform. As far as the ramp up, I think you will see us continue to focus on the DTC as a primary channel for the foreseeable future, and retail playing that second initiative. We really like this opportunity. Again, as we talked about before the way that we think about CBD is potentially a snapshot of future of cannabis where direct-to-consumer comes into play and is less reliant on brick-and-mortar. And we really want to -- we want to explore that. So we're ramping up with a direct-to-consumer model as the start.
Operator: Thank you. Our next question comes from Derek Dley of Cannacord. Your line is open.
Derek Dley: Just following up on the WellBeings, and I appreciate the commentary around starting with the DTC channel. But is the plan to eventually get these products in terms of brick-and-mortar into, both dispensaries as well as the natural foods and mass-market retailer, and are you currently in discussions with any largest scale retailers for the product?
Charlie Bachtell: Hey, Derek, it's Charlie. So, yes, I think we're about to launch a pretty cool approach to this space. It's going to -- from a utilization again of digital advertising platforms, is going to focus. We will incorporate the portfolio -- the product portfolio into the dispensary channel as well where allowed. We think that's again a nice synergy, especially with our current distribution platform to take advantage of that, but primary focus being on more mainstream opportunities to communicate and resonate with the customer base that aren't available to us in the traditional THC channel.
Derek Dley: And would those we branded, both WellBeings and Remedi, in those more traditional channels, or would it be still be WellBeings?
Charlie Bachtell: Yes, you are going to see both. And I think that we will continue to expand in the house of brands. You'll eventually -- again, based on form and regulatory guidance, you will see Mindy's crossover a new hemp-derived CBD option, as well as potentially the Cresco brand itself.
Derek Dley: You mentioned your expectation for closing on Origin House, which is great. Can you just give us an update on the timing for VidaCann as well?
Charlie Bachtell: Yes. So thereto, I think we are anticipating Q3 closings or approvals. I should say that's still subject to regulatory approval. We've seen the regulatory approval process take a little bit longer this year than maybe historically, because again the focus on this space, the diligence that regulators are putting into reviewing the industry and transactions that are taking place within it has increased. But the good thing is as we showed with New York, while we did not anticipate that to be an 11 month review process we got it across the finish line. And I think -- and again, it speaks to the strengths of Cresco. I can assure you lesser companies would not have been able to get that approval in place. It was a lot of work. It was a lot of communications. A lot of efforts went into it. And a lot of that was predicated on Cresco being Cresco as a result of why that was approved. So we're confident in the ability to get these across the finish line, still in expected timeline of Q3 for VidaCann.
Derek Dley: Joe, maybe for you. Just in terms of the patient count in Illinois. Can just give us an update in terms of numbers? What are you seeing for patient count? Have you seen acceleration as the state become a little bit more legal in terms of what cannabis is being allowed to Remedi? And then as well, I think it was last quarter, you commented it was the 12th consecutive quarterly increase in markets here in Illinois. Was it 13th this quarter?
Joe Caltabiano: So what we're seeing in Illinois is, last month, we added about 5,200 new patients. We've got -- we've crossed the 80,000 patients mark. Now with chronic pain being one of the conditions that's added as well with migraines. We are expecting that to ramp up potentially into that range that you see in other markets with chronic pain like Pennsylvania where we're adding 10,000 patients a month. So we do expect chronic pain migraines to drive a significant amount of new patients in very real time. Our activation group is out there, putting events together to really start to drive patient awareness to the medical program. And then the second piece, our quarterly growth wholesale penetration remained flat this quarter.
Derek Dley: And then I guess the last one, just in terms of Florida. And I think I've asked something along these lines in the last call. But I know you had a few more months with flower being allowed for sale in Florida. Can you just comment in terms of the split that you're seeing between flower and concentrated sales in that state?
Charlie Bachtell: So, you're continuing to see -- again, this is Charlie. You are continuing to see flower demand increase in that state, I think similar to trying to think of the other programs that have had that trends -- that transition Pennsylvania, that being the one closest to us started as a state program without flower. And as soon as flower enters that marketplace, it does tend to increase significantly and then normalize where it does in most other markets, which is somewhere between that 45% to 55% of the overall market is that flower space. So I think you're starting to see the similar trends develop in Florida and expected normalization right in that same range as well.
Operator: Thank you. Our next question comes from Robert Fagan of GMP Securities. Your line is open.
Robert Fagan: I had a question, I guess in relation to Massachusetts. I know, Joe, mentioned in closing by end of Q3. Just wondering how you guys are progressing with your rec license application there? And whether you think that on closing or very near about then, we could see you guys get into the rec channel and mass?
Joe Caltabiano: So we have had our inspection -- this is Joe. We have had our recreational inspection in past. So we are slated to be on one of the upcoming final agenda meetings for the state. The CCC has moved to kind of a monthly meetings calendar now. So waiting to get onto that, which should be in the September meeting, we should see the rec license come at that meeting as well. So the expectation is again to have recreational approved this quarter, as well as the transaction approved this quarter.
Robert Fagan: Joe, I appreciate the kind of color you gave on the sequential growth in Illinois. So I was wondering given the progress or solid progress in California, if you might be able to add some color around your sequential growth there. And maybe just comment on the ability to our leverage the continuum platform thus far, and how that may perhaps accelerate upon closing?
Joe Caltabiano: So the continuum platform has certainly been an incredible opportunity for us to penetrate that market. We did see some substantial gains in California this month for Cresco. It was having the access to all of the doors that continuum has worked very hard to open over the years. We now are focused on brand activation, CAD events and really trying to drive that brand into more and more stores. With the goal to be in 75% of the stores with the Cresco brands by the end of the year, we think that's a very realistic opportunity with a sophisticated platform like continuum. Once that transaction closes with us and continuum, we think furthering leverage the capabilities of Cresco and Origin House to improve on best-in-class service will be exciting for both parties. But we are seeing steady growth in California and we'll continue to have -- had some significant opportunities and activation events that are really driving the brand awareness out there.
Robert Fagan: Good. Thanks for that detail. More here is on Illinois and in the sense that clearly the new medical qualifying conditions will boost growth nearly immediately. But how are you guys you know preparing for that and the opening of the rec market in the sense that, you had already expanded capacity or plans to expand capacity. Is there any additional expansion you're considering given what's going on there? And are you certain or is it pretty well assured that rec start -- sales will start at beginning of next year?
Joe Caltabiano: It's Joe, again. It's funny, we had hoped for an expansion in this medical program for a long time, and now we got overshadowed by having recreational come in. Chronic pain is certainly a needle mover as it relates to any cannabis market that you've seen. We're excited and we open up on all aspects of the business. We have our construction team overseeing our expansion in Lincoln in Kankakee, the real estate team is evaluating multitude of opportunities as it relates to new Sunnyside dispensaries. We're ramping up staff, manufacturing capacity. We currently have the maximum number of cultivation facilities at three. And we currently will have -- we will have 10 open retail licenses in the state as well. So on all fronts, we're expanding, both headcount, operational capacity, manufacturing capacity. And the launch in the recreational, as you look to the first iPhones being sold, it's going to be a monumental event in Illinois. You're going to see an incredible demand uptick. We're doing everything within our power to be prepared for. And I think we will be the best suited operator to be ready for that launch and make sure patients, as well as new customers entering that space have a positive experience.
Operator: Thank you. Our next question comes from Adam Altberg of BMO. Your line is open.
Adam Altberg: Just want to echo the same sentiment of great numbers this quarter. I just wanted to touch on a couple of topics here. I know a lot of the previous callers and yourselves in the presentation touched on the Origin House closing. What I'd like to understand, because we -- I personally have never gone through the process. I'd like to understand a little bit more in terms of the details around how inclusive that it is? How much contact you have on a regular basis, I guess with the HSR review team? What your certainty is around closing given that, as you mentioned, it took you 11 months to close the previous transaction? And also, in the SG&A, how much of the legal costs has already been reported in conjunction with this quarter's report?
Charlie Bachtell: Hey Adam, thanks for calling in. This is Charlie. So with regard to the process, as I'm sure everybody expects just because of the importance of it and also the timeline associated with getting through, it's an invasive process, but that also comes with again the almost continuous communications between the organization and the department. And so again, that's where we really do have this very interesting and unique platform to help really, not only get through this process but in doing so, really inform and help the agency understand more about the cannabis space, not just the transaction that's in front of them. And as I've shared the story with investors over the past few months, this is not unlike when myself and my partner, Joe and our other cofounders who are in the mortgage banking space and the CFPB was created, and came in and audited and regulated independent mortgage banks for the first time. It was a matter of first impression. It was a new subject matter for them to lean. And they truly appreciate a welcoming approach and a mutually beneficial sharing resource type approach from those operators that are involved in that evaluation process. And it's very similar to what we've experienced so far with DoJ. The -- let's see, the other part of the question there…
Ken Amann: In terms of -- this is Ken. In terms of the legal costs, Adam, about half of those are recognized in Q2. And we expect the other half will be recognized in Q3, maybe a small amount trailing into Q4.
Charlie Bachtell: And Adam, you'd asked as second question part of the question before the legal cost question with regard to the timing of approvals. The one thing I'll add with that New York with taking 11 months. While some of that is just, it's a normal progression in a way that the regulators are analyzing these transactions that also coincided with a political push to legalize adult use in that state. So there was an added level of sensitivity related to approving transactions and modifications around the medical program, while the other focus was pending as it related to adult use in that state. So some of that 11 months absolutely could be attributed to the political nuance of an adult use push at the same time.
Adam Altberg: And I just want to go back to the gentleman from GMP touched on rec coming in, which is only four months away. My understanding is that the population of Illinois, as a state, 13 million people putting it around number five or so in U.S. And Chicago Tribune reported just this past July that 117 million visitors in 2018 entered into the state with 58 million alone in the Chicago area. So I imagine this has to be some of the largest statistics outside of California that is by any state in the U.S. Can you talk specifically, because it's very concentrated, of course. Chicago, can you talk specifically about Chicago, and how you guys are prepared to service that concentration of not only population but tourists?
Charlie Bachtell: Yes, thanks Adam. This is Charlie and Joe will chime in here too with some additional color, but no doubt about it. The market size of Illinois, it's I think everybody, at least the sentiment that we've seen so far from the investment community and the industry as a whole, they recognize the importance of Illinois moving forward with this adult use and the importance of a top five populated state located in the Midwest and also including a limited license structure. So, it's going to be novel. This type of demand with limited license structure really has never been seen before. So it's incredible opportunity. Again, for us being the market leaders here, having the highest market share by a significant margin, to really benefit from this growth, is pretty dynamic. And that's even made sort of further, it is sort of exaggerated even by the fact that we're the only cultivator in Illinois that has three cultivation licenses. And so with this new law putting a cap on the square footage of flowering canopy that you could have, we have -- or we are the only operator in the state that is going to have 630,000 square feet of canopy at full maturation. There's a couple of others that have two licenses, they will be capped at 420,000 square feet and then everybody else will be capped at 210,000. So, the opportunity for Cresco to really take advantage of our home state, both with the biggest footprint and the current biggest market share, it's just fundamental opportunity that we look forward to take an advantage of. As far as Chicago, I think Joe will add some color.
Joe Caltabiano: Yes, I would just say one of the exciting things for this is the fact that the City of Chicago is onboard for the adoption of adult use. I think if you've seen other markets come online, the big driving city hasn't been on the front lines of the adult use adoption. With Illinois doing such a good job addressing social equity, social justice concerns, the City of Chicago and the new Mayor has really taken it upon herself to make sure that this has a smooth rollout in the city. So we're very excited where the majority of the population lift you're going to have access to, to cannabis in a very material way, like we did with the governor's committee where Charlie sat on the Board there. We're also engage with the City of Chicago and sit on the Advisory Committee to the rollout of the adult in the city. So we're very excited to see that happen and come to life in near-term. And we currently have a dispensary in one of the most populous areas of the city right outside of Wrigley Field. So we're well positioned to have a lot of foot traffic, a lot of new patients, a lot of new consumers entering the space come to our existing source.
Adam Altberg: And just final question. Can you provide us with any type of outlook in terms of your financial modeling on a go forward basis into 2020 and 2021? Thank you.
Ken Amann: Thanks for the question, Adam. This is Ken. As you think about the revenue that we achieved in Q2, which was up significantly quarter-over-quarter 42% and the pro forma revenue behind that $52.7 million that was up 55%. You have to keep in mind that the vast majority of that revenue and the consolidated numbers were generated just from two markets. That was Illinois and Pennsylvania. We saw sequential growth in both of those markets up 30% quarter-over-quarter with the exact same asset base. So this gives us a lot of confidence that the strategy is right, that you have to continue to go deeper in each one of these markets. So as you then expand from mainly two states -- and we saw this, certainly saw the results in California over this quarter. As you continue to expand and recognize revenue contribution from all 11 states, you could see that significant amount of revenue potential that is behind the 11 state addressable markets that we have, which again captures 70% of U.S. So we feel like we're better positioned as anyone to capitalize on the continued growth within the industry.
Operator: Thank you. Our next question comes from Vivien Azer from Cowen. Your line is open.
Vivien Azer: So not to believe where the issue on WellBeings, but certainly very exciting. Just curious if you can offer any color around what we should expect in terms of the margin differential between DTC and retail? I'd expect DTC as higher margin, just so it makes sense that you'd prioritize it. But any just kind of framework that you could offer would be helpful?
Charlie Bachtell: Sure. This is Charlie. So, yes, as you've expected, margins with DTC are materially higher than they would be through the retail channel. Not the only reason why we're trying DTC, first. Again, for us it was -- it really that brand itself was built with the idea of the DTC approach, and we liked what we saw happening in some of these more, I'd say, current or new CPG categories, which really just where they get their initial start by going direct-to-consumer. We really liked the opportunity that that provided and also you're talking about some traditional cannabis THC guys that have dealt with the limitations on marketing and the ability to communicate directly with consumers. So part of the reason of going direct to DTC initially, of course great margins, but also it's this new category for us that we've been itching to be a part of and to explore further. So that's where these, you've I think a lot of the people on the phone and investment community have gotten to know our marketing team over the past few months. And this is right up their alley and again, the team of third party agencies that we put together to help develop our approach is not only in the cannabis and THC side, but on the CBD side is the same. So put those together and that's why we're refocusing on DTC initially with that WellBeings brand.
Vivien Azer: And just to follow-up on Well Beings, it sounds like if there is going to -- that there is already some active discussions with retailers, I suspect they probably just started yesterday. And so, I'm just curious whether the tone or the nature of those discussions has evolved with the FDA warning one of your competitors about claims?
Charlie Bachtell: I think the conversations -- this is Charlie, again. I think the conversations had stayed consistent. I think the retailers that have made the move to get into the space did so with eyes wide-open. And I also think then that also goes to the reputation that you build for your organization well prior to the initiation of the conversations. And again, that's also one of the reasons why they're having the conversations that they are with certain operators. I can tell you that the tenure of the discussions that we have had so far is remained consistent. And again it is, even the FDA letters things like that and not isolating that just the CBD in traditional retail, I think that applies across the sector as a whole. It really just shines the light on the operators that are regulatory compliance focused, and the asset that, that brings to an organization when that's part of your fabric, when that's part of your core values, it does help to distinguish you. And potentially, even strengthen the bonds and the relationships that are being developed with newcomers to the marketplace.
Vivien Azer: Great, that's certainly encouraging to hear. And my second question is on Sunnyside, perhaps little bit more philosophical given that it's early days on a nationwide rollout. But how do you think about establishing kind of relative price points on an apples-to-apples basis versus your competitor? So just to offer a little bit more on that. Are you thinking about you want Sunnyside to be a premium to the national category to competitors in a given state? And then, are you doing price benchmarking? Again, is it national like on an ASP level, or is it state specific pre [excise] tax? Thanks.
Joe Caltabiano: Hey, Vivien, this is Joe. From the Sunnyside standpoint, the experience with Sunnyside is all about being welcoming and looking to steward a multitude of different types of consumers into that store. So within the store itself, you'll certainly have the good, better, best categories in there with different margin and markup allocations came to those categories. As a company, we will try to keep the pricing structure similar across states. The unique nature is obviously the input material the wholesale price into those states varies from market-to-market. But what I'll tell you is we will maintain similar margins and markup across the entire platform within those good, better, best categories. You won't see depreciation on our markup, but you may see a different price and retailer becomes the input material cost more in Pennsylvania than it does in a market that has unlimited licenses, or something along those channels.
Operator: Thank you. Our next question comes from the line of Matthew Pallotta of Echelon Wealth. Your line is open.
Matthew Pallotta: Just a question on Illinois, are we still on track to have the five additional stores open in Q1 for rec? That’s the expectation?
Charlie Bachtell: Yes, the expectation is to have all five of the additional stores open in Q1. I think, the goal internally is to have three of those five open January 1st. So I think you’ll see a couple of the additional ones lead towards the middle to the end of Q1, but our real estate team, our construction and development team is full throttle on that aspect and we expect to have them open as quick as possible.
Matthew Pallotta: Perfect. Any detail you can provide on the retail wholesale split for sales this quarter? Not sure if you mentioned but I didn’t hear that provided earlier, in case I missed it.
Ken Amann: Hey Matthew, this is Ken. In terms of the quarter, we saw a slight shift from Q1. The amount of wholesale revenue was 62% and 38% on retail, which was up from a split of 55/45 in the prior quarter and that was primarily driven by the increase in the wholesale revenue within the State of California.
Matthew Pallotta: Perfect. Also on the pro forma revenue, based on obviously Origin House pre-reporting their number we summarize most of that additional revenue comes from, just trying to bridge the gap from your reported revenue to pro forma. Is it possible to provide a breakdown of how much was from -- or the remaining was from Florida versus New York?
Ken Amann: Hey Matthew, it’s Ken again. So pro forma revenue is $52.8 million, again up 55% quarter-over-quarter, consolidated revenue of $29.9 million up 42%, so that was -- the difference between the two is $22.8 million. So all that amounts, $15.6 million was Origin House and we did the see the revenue increased 90% quarter-over-quarter, so that leaves quick math $7.1 million of revenue contribution coming from Florida, Massachusetts, New York and our investment in Nevada. And again we expect accelerated growth across all of those markets in future quarters, internally meaningful contribution in the second half of the year. But we don’t split out the individual state revenue performance.
Matthew Pallotta: Fair. And then last quickly on -- there was a tax charge you said related to the closing of the MedMar acquisition. I noticed last quarter you didn’t have any income tax expense, so can we expect that to be one-time and not extrapolate that moving forward?
Charlie Bachtell: Yes, most of the -- as you saw our income tax expense was a bit elevated this quarter, that was largely result of the legal close of MedMar and PDI. And that way, that was part of a one-time deferred tax asset. So you will not see that continue in future quarters, certainly not to that extent.
Matthew Pallotta: That’s very helpful. I really appreciate it guys. And thanks for taking my call.
Operator: Thank you. Our next question comes from Russell Stanley of Beacon Securities. Your question please.
Russell Stanley: First on Pennsylvania, I think you provided some color around your wholesale share in Illinois earlier, can you do the same with Pennsylvania for Q2?
Joe Caltabiano: Hey, it's Joe. Our current wholesale position there is right around about 30% mark.
Russell Stanley: And can you remind us where you are with respect to -- I think you have some additional dispensaries to open there, where you are build out is out there?
Joe Caltabiano: Yes. So, the Philadelphia store will open in November. That will be the first launch of the Sunnyside brand. We're really excited about that. The other two stores should open end of Q4 early Q1. We're still in construction phase and winter time slows it down a little bit in that part of the country.
Russell Stanley: Understood there. Just moving on to Florida very quickly. I think you said you're still targeting 20 locations to be open for the end of December. Can you give us an idea, how many locations you've actually secured or locked down? And as follow-up to that the 105,000 square feet of cultivation footprint, in aggregate once that’s done, how many dispensaries do you think you can support?
Joe Caltabiano: So, actually there is 12 stores open, two more opening very shortly and then all 20 locations have been sourced. So it's just a matter of working through the construction process there. When we close on this transaction, there will be 170,000 square feet of cultivation space that is built out for the final phase to be completed. So we feel that's more than sufficient to support those stores. We will continue to look for opportunities for additional cultivation space. But I think with the 20 stores we'll have more than enough supply to provide.
Operator: Thank you. Our next question comes from the line of Jesse Pytlak of Cormark. Your line is now open.
Jesse Pytlak: Just one quick question for me, when you look at the balance sheet exiting the quarter with 61 million, you still have to fund the cash component for VidaCann and some of your other pending acquisitions and then you adding kind of the expansions that you have underway in Illinois and some of the other build outs. Just kind of wondering how you view your current funding situation?
Ken Amann: Hey, Jesse, this is Ken. Thanks for the question. I guess the way that I would approach this is, look, as a premier name in the space with lots of debt capacity, especially as we continue to scale the company, we have several opportunities that we are currently evaluating. We're in the late stage discussions focused on non-dilutive capital. This will further optimize our cap structure, reduce our cost to capital, enhance our flexibility to fund these ongoing growth initiatives. While I can't share any more of the specifics just yet, suffice to say they are absolutely on top of the situation.
Operator: Thank you. Our Next question comes from Graeme Kreindler of Eight Capital. Your line is open.
Graeme Kreindler: I just wanted to follow-up quickly with respect to the comments made on Arizona. The recently rolled out delivery as well as wholesale. Just wondering, how you're balancing current execution in that market with the potential for seeking legislative change in the medium-term given that there was some early language that just came out there?
Charlie Bachtell: This is Charlie, hey Graeme. So, the Arizona market we like a lot. And, I think it's fair to say we're not content with the position that we currently have in Arizona. As Ken had mentioned when it comes to our future outlook or near-term outlook for M&A. It's not about including new markets into our footprint, it's going to be -- going deeper and creating thus more meaningful positions in the markets that we're in and already love. So, we're not happy, we're content, I would say with our position in Arizona. That's something that we'll be looking to expand upon in the near future. As far as the marketplace, market dynamics, we like it, whether or not delivery is part of the actual law that gets passed, you know, it's CBD. But we like brick-and-mortar retail, we get it. We also like ease of access for consumers. So, that's something that we'll continue to work on and develop as we increase our position within the fabric of that Arizona market.
Operator: Our final question comes from Scott Fortune from ROTH capital. Next question comes from Jason Zandberg of PI Financial. Your line is open.
Jason Zandberg: You've covered a lot of ground here on this call. Just a couple quick questions. You've talked about the expansion of your margins in Illinois and Pennsylvania. Any comments in terms of pricing in those two markets whether it'd be retail or wholesale?
Charlie Bachtell: Yes, so largely that margin increase that we saw, particularly in our key space of Illinois and Pennsylvania, those were significant, that was 4.9 and 9.1, respectively. That was mainly driven through operational efficiencies, really focused on our efforts to drive automation and improve our cost per gram. And we've done that significantly in both of those states. Our cost per gram quarter-over-quarter declined by about 25%. And that was really an environment where pricing stayed flat in both of those markets, we haven't seen any price compression in Illinois or Pennsylvania to date.
Jason Zandberg: And then finally, we've seen other states that went recreational adult use and had some hiccups in the early days around labeling, around testing. What is your confidence that Illinois will launch January without too many roadblocks?
Joe Caltabiano: It's Joe. We have a very strong working relationship with the regulatory bodies in the State of Illinois. We were involved in the crafting of that legislation. So, I think we have a very high level of confidence that this market launches recreationally without a hitch at all. There are certainly beep bumps in the road as relates to the transition and stores opening and all of those things, but I think from the manufacturing, distribution side, we will be well prepared to launch on time into this marketplace.
Operator: Thank you. At this time, I'd like to turn the call back over to Chief Executive Officer and Co-Founder, Charlie Bachtell for closing remarks. Sir?
Charlie Bachtell: Yes, briefly just want to thank everybody for joining the call today. We are very excited about the quarter that we were able to deliver on, and we look forward to updating you on the next call. So, thank you very much.
Operator: Thank you, sir, and ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day. You may disconnect your lines at this time.